Maura Topper - Chief Financial Officer:
Charles Nifong - Chief Executive Officer and President:
Operator: Good morning, ladies and gentlemen, and welcome to the CrossAmerica Partners First Quarter 2025 Earnings Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, May 8, 2025. I would now like to turn the call over to Maura Topper, Chief Financial Officer. Please go ahead.
Maura Topper: Thank you, operator. Good morning, and thank you for joining the CrossAmerica Partners first quarter 2025 earnings call. With me today is Charles Nifong, CEO and President. We'll start off the call today with Charles providing some opening comments and an overview of CrossAmerica's operational performance for the first quarter, and then I will discuss the financial results. We will then open up the call to questions. Today's call will follow presentation slides that are available as part of the webcast and are posted on the CrossAmerica website. Before we begin, I would like to remind everyone that today's call, including the question-and-answer session, may include forward-looking statements regarding expected revenue, future plans, future operational metrics, and opportunities and expectations of the organization. There can be no assurance that management's expectations, beliefs, and projections will be achieved, or that actual results will not differ from expectations. Please see CrossAmerica's filings with the Securities and Exchange Commission, including Annual Reports on Form 10-K and Quarterly Reports on Form 10-Q for a discussion of important factors that could affect our actual results. Forward-looking statements represent the judgment of CrossAmerica's management as of today's date, and the organization disclaims any intent or obligation to update any forward-looking statements. During today's call, we may also provide certain performance measures that do not conform to U.S. Generally Accepted Accounting Principles, or GAAP. We have provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press release. Today's call is being webcast, and a recording of this conference call will be available on the Cross-America website for a period of 60 days. With that, I will now turn the call over to Charles.
Charles Nifong : Thank you, Maura. Maura and I appreciate everyone joining us this morning, and thank you for making the time to be with us today. During today's call, I will go through some of the operating highlights for the first quarter. I will also provide commentary on the market and a few other updates, as I typically do on our calls. Maura will then review in more detail our financial results. Now, if you turn to Slide 4, I will briefly review some of our operating results. Overall, it was another difficult start to the year for us and for the industry. While our results on an EBITDA basis were marginally better than the first quarter of the prior year, it was nonetheless a challenging start to the year. Fuel and inside store merchandise demand remained subdued for the first quarter. After many consecutive quarters of us outperforming the market, our retail same-store fuel volume for the first quarter was approximately in line with the overall market. And while our same-store merchandise sales, excluding cigarettes, outperformed the market, they were still under the prior year first quarter results. Turning to the specific numbers. For the first quarter of 2025, our retail segment gross profit increased 16% to $63.2 million, compared to $54.4 million in the first quarter of 2024. The increase was driven by an increase in both motor fuel and merchandise gross profit. Our retail fuel margin was a relative highlight for the quarter compared to the prior year. For the quarter, our retail fuel margin on a cents-per-gallon basis increased 10% year-over-year, as our fuel margin was $0.339 per-gallon in the first quarter of 2025, compared to $0.308 per-gallon in the first quarter of 2024. In comparison to the prior year, which saw a steady increase in crude oil prices during the quarter, crude oil prices were more volatile during the first quarter of 2025. And as a result, our retail fuel margins were higher year-over-year. Our retail fuel margin results reflect this volatility and are not the result of any changes in our pricing strategy towards greater fuel margin at the expense of our volume performance. For volume, on a same-store basis, our overall retail volume declined 4% for the quarter year-over-year. In regards to our same-store statistics that we provide, I should note that February 2024 included an additional day with the leap year. The impact to our first quarter of 2025 same-store numbers was approximately 100 basis points, or 1%. So, the 4% decline that it just provided would be 3% when adjusted for the additional day. Based on national demand data available to us, national gasoline demand, unadjusted for the additional day was also down approximately 4% for the quarter. Our volume performance this quarter was impacted by significant winter weather during the first few months of the quarter, with weather impacting volume and broad geographic segments of our portfolio in both our retail and wholesale segments. Also, Easter was in the quarter last year, as Easter was on March 31st the prior year, so the higher Easter week fuel demand that was in the quarter last year also contributed towards our relatively lower year-over-year volume in this year's first quarter. In the period since the quarter end, retail same-store volume, both company-operated and commissioned, has been down slightly less than 2%, performing better than overall national demand, which is down approximately 4% for the same period based on the data available to us. In the same period, retail fuel margins, both company-operated and commissioned, have been higher, in part due to the sharp drop in crude oil prices at the start of April. The sharp drop in crude oil prices to start April, where crude oil prices dropped from around $70 a barrel to around $60 a barrel was of course, one of the many financial market reactions that happened in response to tariffs that were announced on April 2nd. During the first quarter, earlier tariffs impacted the fuel market in the New England area when Canadian gasoline, which supplies a substantial portion of the market in New England was temporarily subject to a tariff, the implementation of which was paused and then ultimately exempted from the tariff. In the brief period of time where there was a tariff on Canadian gasoline imports, we saw wholesale gasoline costs in the New England market rise to reflect the cost of the new tariff, as one would expect. The New England fuel market notwithstanding, while we don't generally source directly any of our fuel supply or store merchandise items from outside the country. We do, of course carry products in our stores that are produced outside of the United States. At first glance though, the relative percentage of products in our stores produced outside the United States would appear to be small. However, some products have surprising foreign components, as I learned recently about a major beverage supplier that produces its beverage syrups outside of the United States. So the impact of all these substantial potential changes due to the tariffs is difficult to know and adds to the overall uncertainty right now, which is reflected by the large number of public companies that have withdrawn their financial guidance for the year this quarter. In the meantime, we continue to execute on our business strategies, focusing on what we control and remaining nimble to adjust to the market as circumstances dictate. For inside sales on a same-site basis, our inside sales were down approximately 1.5% compared to the prior year for the first quarter. Inside sales, excluding cigarettes, declined one percent year-over-year on a same-store basis for the quarter. As with fuel demand, based on national demand data available to us, national demand for inside store sales was weak for the first quarter, down approximately 3% on our overall sales basis year-over-year. So on a relative basis, our retail segment inside sales outperformed the industry for the quarter. On the store merchandise margin front, our merchandise gross profit increased 16% to $24.9 million, driven by our increased sales from the higher store count. The store merchandise margin percentage declined slightly for the quarter compared to the prior year. In the period since the quarter end, same-store inside sales have been up three to four percent compared to the prior year, with a portion of that increase due to the inclusion of Easter and Easter week in this period compared to the prior year where Easter was in the first quarter. Nonetheless, it is an encouraging sign to see the relative sequential increase to prior months in the April data. In our retail segment, if you look at our company-operated site count for the end of the period, we are up 33 company-operated retail sites from the prior year and 11 company-operated sites from the end of the fourth quarter. The increase in company-operated site count was primarily driven by our conversion of lessee dealer sites to company-operated retail sites. Our commission agent site count at the end of the quarter increased by 31 sites relative to the first quarter of 2024 and 5 sites relative to the end of the fourth quarter of 2024, as we continue to execute on our strategic class of trade conversions to the retail channel. In total, we increased our overall retail site count by 64 sites during the first quarter of 2025 compared to our retail site count at the end of the first quarter of 2024. Based on these numbers, you can see that we were very active during the past 12 months with site conversions and executing on our strategy to increase our exposure to retail fuel margins and the retail business in general. Overall, it was a challenging first quarter for the retail segment, reflecting a difficult operating environment. A highlight of the quarter was the relative strength of our retail fuel margins and the continued relative outperformance of our same-store inside sales to the market. As I just touched on, we continue to add sites to the retail segment, positioning us to grow our motor fuel and merchandise gross profit and overall segment profitability in the future. Moving on to the wholesale segment. For the first quarter of 2025, our wholesale segment gross profit declined 1% to $26.7 million compared to $27 million in the first quarter of 2024. The decrease was primarily driven by a decline in fuel volume and rental income. The primary factor for the fuel volume and rental income decline by a significant degree was the conversion of certain lessee [ph] dealer sites to company-operated and commission agent sites, which are now accounted for in the retail segment. Our wholesale motor fuel gross profit increased 8% to $15.8 million in the first quarter of 2025 from $14.6 million in the first quarter of 2024. Our fuel margin increased 23% from $0.079 per gallon in the first quarter of 2024 to $0.097 per gallon in the first quarter of 2025. The increase in our wholesale fuel margin per gallon was primarily driven by movements in crude oil prices and its impact on our fuel purchase on index pricing under our fuel supply agreements. We have also continued to be successful in our efforts to improve our overall cost of product, which positively impacted our wholesale fuel margin for the first quarter and materially contributed to the year-over-year improvement in our wholesale fuel margin per gallon. Our wholesale volume was 162.9 million gallons for the first quarter of 2025 compared to 184 million gallons in the first quarter of 2024, reflecting a decline of 11%. The decline in volume when compared to the same period in 2024 was primarily due to the conversion of certain lessee dealer sites to our retail class of trade. The gallons from these converted sites are now reflected in our retail segment results. For the quarter, our same store volume in the wholesale segment was down approximately 3% year-over-year, so the additional approximately 8% drop in volume, the difference between the overall volume decline of 11% and our same store volume decline of 3% for the segment was largely due to converting sites to the retail segment. As mentioned in my retail segment comments, national demand data available to us indicated national fuel demand was down around 4% for the quarter, so our same store wholesale volume performance for the first quarter slightly outperformed overall national demand. In the period since the quarter end, wholesale same store volume has been down around 2%, outperforming national volume demand, which is down approximately 4% year-over-year for the same period. Regarding our wholesale rent, our base rent for the quarter was $10.1 million compared to the prior year of $12.4 million, a decrease due to the conversion of certain lessee dealer sites to company-operated sites as well as our real estate rationalization efforts. As you know by now, the rent dollars from the converted sites, while no longer in the form of rent, are now in our retail segment results through our fuel and store sales margin at these locations, which helped to drive our increase in retail segment operating income for the quarter. We also continue to evaluate our portfolio and look for opportunities to divest non-core properties. For the first quarter of 2025, we divested seven sites for $8.6 million in proceeds. We expect this momentum to continue through 2025 as this continues to be an area of focus and effort for us, and we expect to outperform our results for 2024 in this area. As I stated at the beginning of my remarks, the first quarter was a challenging start to the year from weather impacts to continued inflationary pressures and, after the end of the quarter, the uncertainty on the overall economic environment due to the addition of material tariffs. Despite these challenges, we continued with the execution of our strategy, converting more sites to our retail channel and continuing to recycle capital out of sites that are not in our long-term plans for the portfolio. Our retail site's volume performance was in line with the overall market for the quarter and has shown signs of returning to outperforming the market since the quarter end. And our company-operated sites generated strong inside sales relative to the overall market, a sign of the successful execution of our retail strategy. Our wholesale segment generated strong fuel margins for the quarter, reflecting the work we have done to improve our product costs. Still, we are glad to put the first quarter in our rearview mirror and are looking forward to the road ahead into summer and peak driving season. With that, I'll turn it over to Maura to further discuss our financial results.
Maura Topper: Thank you, Charles. If you would please turn to Slide 6, I would like to review our first quarter results for the partnership. We reported a net loss of $7.1 million for the first quarter of 2025 compared to a net loss of $17.5 million in the first quarter of 2024. As I'll discuss in a moment, our adjusted EBITDA for the quarter was up slightly from the prior year, with the improvement in our net loss position materially being driven by various aspects of our ongoing classic trade conversions and real estate rationalization efforts. Our first quarter of 2024 net loss was burdened by a $15.9 million of lease termination expense as a result of the gap treatment of our acquisition of locations from Applegreen during that quarter. Our first quarter 2025 results did not have this charge, but did include a net gain of $5 million associated with our ongoing asset sales during the quarter, as well as an $8.5 million non-cash impairment expense related to certain locations moved to assets held for sale during the quarter. Finally, our first quarter of 2025 net loss was impacted by a $2.3 million increase in interest expense year over year. Adjusted EBITDA was $24.3 million for the first quarter of 2025, an increase of 3% from adjusted EBITDA of $23.6 million for the first quarter of 2024. Our distributable cash flow for the first quarter of 2025 was $9.1 million, a decline from $11.7 million for the first quarter of 2024. The decrease in distributable cash flow was primarily due to our higher cash interest expense and sustaining capital expenditures during the quarter, both of which I will touch on in a few moments. Our distribution coverage for the trailing 12-month for the period ended March 31, 2025, was 1.04 times, compared to 1.37 times for the same 12-month period ended March 31, 2024. Coverage for the first quarter of 2025 was 0.46 times, compared to 0.59 times for the same period of 2024. As we have noted in the past, the first quarter is our seasonally weakest quarter, where we historically have seen our coverage fall below 1 times during the lower activity winter months. During the first quarter of 2025, the partnership paid a distribution of 52.5 cents per unit. Charles provided information in his comments on our volume and merchandise performance during the quarter and how they benefited our adjusted EBITDA compared to the prior year. I will now touch on the expense portion of our operations. Operating expenses for the first quarter increased $6.8 million compared to the first quarter of 2024, comprised of an $8.6 million increase in our retail segment, offset by a $1.7 million decrease in our wholesale segment. The year-over-year increase in retail segment operating expenses was approximately 20%, primarily driven by a 17% increase in average segment site count year-over-year due to our class of trade conversions, specifically the company-operated class of trade. On a same-store, store-level basis, operating expenses in our retail segment were up approximately 6% for the first quarter of 2025 compared to the first quarter of 2024, with approximately 1.5% of that increase due to elevated snow plowing and other weather-related expenses in the areas of repairs and maintenance. Our labor expense increase during the quarter was higher on a percentage basis than prior quarters, but still a moderate percentage overall. When we feel good about our approach and management of labor, our largest single retail segment expense category. We remain focused on efficient expense management at our locations as we move into the summer driving season of 2025, ensuring that we are investing in customer-facing areas that will drive the long-term health and sustainability of our sites. Operating expenses in our wholesale segment declined by $1.7 million, or 19%, for the quarter year-over-year due to declines in site-level operating expenses and management fees as our wholesale segment's average site count declined 12% year-over-year. Our G&A expenses increased 12% for the quarter year-over-year, primarily driven by higher management fees and equity compensation expense, partially offset by lower acquisition-related costs. Moving to the next slide. We spent a total of $10.1 million on capital expenditures during the first quarter, with $7.4 million of that total being growth-related capital expenditures and $2.7 million of that total being sustaining capital expenditures. As we have increased our site count in the retail segment, specifically our company-operated locations, we have expected to see an increase in our sustaining capital expenditures at these locations as our highest investment locations. Our increase in sustaining capital spending as we have increased the retail segment site count is in line with our expectations. Moving to our growth capital spending during the quarter, our spend remained focused on our company-operated locations and included targeted fuel brand and backport refresh projects. Oftentimes supported by our wholesale fuel supplier partners, as well as projects to increase food offerings, both our own and QSRs. During the year, we have opened four new QSR locations in our company-operated convenience stores and continue the expansion of our food and beverage programs at various stores. These growth investments have and will contribute to merchandise sales and margin results and help drive customer traffic onto our lots and into our stores. As of March 31st, 2025, our total credit facility balance was $778 million and our credit facility defined leverage ratio was 4.27 times. We remain focused on the cash flow generation profile of our business to manage our leverage ratio at approximately four times on a credit facility defined basis. Our cash interest expense increased from $10.1 million in the first quarter of 2024 to $12.4 million in the first quarter of 2025. During the first quarter of 2024, we benefited from a series of valuable interest rate swaps from the first quarter of 2020, which expired at the end of the first quarter last year. Our first quarter of 2025 interest expense increase was primarily due to those advantageous swaps having expired. We benefited from the interest rate swaps we entered into during 2023 during the quarter as well. At this time, a little more than 50% of our current credit facility balance is swapped to a fixed rate of approximately 3.4% blended, which remains an advantage rate in the current rate environment. Our effective interest rate on the total CAPL credit facility at the end of the first quarter is 6.1%. In conclusion, as Charles noted, the partnership had a challenging first quarter of 2025, facing headwinds from the macroeconomic demand environment and difficult operating environment, as well as the seasonal challenges from our historically most challenged quarter. We did successfully continue to execute on our strategy of optimizing our classic trade operations by location, as well as our ongoing real estate rationalization activities to generate additional capital to strategically invest in our business. We remain focused as a team on continuing to execute across the business, and are looking forward to the year ahead, maintaining a strong balance sheet and generating value for our unit holders. With that, we will open it up for questions.
Operator:
Charles Nifong : Great, thank you. Should you have any questions, please feel free to reach out to us. Otherwise, we thank you for joining us today, and hope you have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you disconnect your lines.